Operator: Please standby, we're about to begin. Good day and welcome to the Sempra Third Quarter Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Nelly Molina, please go ahead.
Nelly Molina: Good morning, everyone. And welcome to our Third Quarter 2021 Earnings call for Sempra. A live webcast of this teleconference and a slide presentation is available on our website under the Investors Section. We have several members of our management team with us today, including Jeff Martin, Chairman and Chief Executive Officer, Trevor Mihalik, Executive Vice President and Chief Financial Officer, Justin Bird, Chief Executive Officer of Sempra Infrastructure, Faisel Khan Chief Financial Officer of Sempra Infrastructure.  Allen Nye, Chief Executive Officer of Oncor, Kevin Sagara, Group President, and Peter Wall, Senior Vice President, Controller and Chief Accounting Officer. Before starting, I would like to remind everyone that we'll be discussing forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected in any forward-looking statements we make today.  The factors that could cause our actual results to differ materially are these calls in the Company's most recent 10-K and 10-Q file with the SEC. All of the earnings-per-share amounts in our presentation are shown on a diluted basis and we'll be discussing certain non-GAAP financial measures. Please refer to the presentation slides that accompany this call for a reconciliation to GAAP measures. We also encourage you to review our quarterly report on Form 10-Q for the quarter ended September 30, 2021.
Nelly Molina: I would also like to mention that the forward-looking statements contained in this presentation speak only as of today, November 5, 2021, and the Company does not assume any obligation to update or revise any of these forward-looking statements in the future. With that, please turn to slide 4 and let me hand the call over to Jeff.
Jeff Martin: Thank you, Nelly (ph). Several years ago, we revised our business strategy to narrow the focus of the Company, to invest in an energy infrastructure and markets where we expect high-growth. Today, there's a growing in recognition about why these types of investments are increasingly important. Whether it's the current dislocation in European energy markets or high prices for RNG in Asia, or even challenging weather events here at home that call for greater resiliency. New investments in energy infrastructure are certainly needed.  Bipartisan support in Washington for the pending infrastructure bill provides further validation of this trend. In addition to help meet the needs of the market at Sempra, we certainly believe energy infrastructure right here in North America is a key driver of job creation, economic growth, and competitiveness across the economy. Moreover, maintaining the modern, flexible and secure network of electric transmission and distribution lines, natural gas pipelines, and storage facilities is essential to delivering affordable and increasingly clean energy to U.S. businesses and consumers while promoting growth across all sectors of our economy.  Against that backdrop, we'll provide a business update today On the key activities in our California and Texas utilities. Also, Justin Bird, our new CEO of Sempra Infrastructure, will provide an update on how he's organized that business to capture exciting new growth opportunities. This will be followed by a summary of our financial performance. As an overview for the quarter, our strategic focus on investment in energy infrastructure across each of our three growth platforms together with a commitment to operational excellence, continue to drive strong financial performance.  As you know, we have a long track record of continuing to raise our guidance, and then working hard to meet or exceed that guidance This is a result of our high performing culture and continuous focus on improving the quality of our operations. As a result of these efforts, we expect to be at the upper end of our full-year 2021 adjusted EPS guidance range and we are reaffirming our full-year 2022 EPS guidance range. Now, please turn to the next slide where Justin and I will provide business updates.  Let me start with our California utilities. In August, SDG&E filed an off-cycle application with the CPUC to update its cost of capital effective January 1, 2022. This application would increase SDG&E's equity ratio from 52% to 54% ROE from 10.2% to 10.55%, while also lowering cost of debt from 4.59% to 3.84%. The application, if accepted by the CPUC, would supersede the automatic cost of capital adjustment mechanism. In terms of timing, SDG&E has requested a decision in the first half of 2022.  Also, at SoCalGas, we recently announced agreements expected to resolve substantially all material civil litigation against SoCalGas and Sempra, related to the 2015 Aliso Canyon natural gas storage facility leak, with net after-tax cash flows for SoCalGas expected to ultimately be up to $895 billion after taking into consideration collection of existing insurance receivables and other adjustments. These agreements are important milestones that will help the community and our Company work toward putting this difficult chapter behind us. In addition, last month, SoCalGas issued an important technical analysis underscoring the essential role of clean fuel networks that leverage existing gas infrastructure to help California achieve its net 0 goals and more importantly, to do so more affordably and more efficiently than other alternatives. Moving now to Texas, Oncor announced this updated 2022 to 2026 capital plan of approximately $15 billion. It's important to note that this plan is a $2.8 billion increase over its 2021 to 2025 capital plan, that was presented at the 2021 Investor Day in June. At Sempra Infrastructure, we recently finalized a series of transactions, including the sale of a non-controlling interest to KKR. Completing the exchange offer and subsequent cash tender offer to purchase the publicly-owned IEnova shares and delisting IEnova shares from the Mexican Stock Exchange. Addition I'd like to note, related to the formation of Sempra Infrastructure, we've updated our GAAP guidance range for 2021 to include items expected to be reflected in our fourth quarter results. You can find the GAAP reconciliation in the appendix to the slide decks.  Please turn to the next slide. Before I hand the call over to Jeff, I want to make one follow-on point about Oncor. We've talked a lot in the past about being in the most attractive energy markets in North America, and Texas is certainly an example. Oncor today operates in one of the fastest-growing markets in the country with some forecast estimating that the Texas population will nearly double by 2050. With strong macro fundamentals across its service territory, Oncor just announced a record-high 5-year capital plan of $15 billion. This capital plan is primarily ear-marked to meet load growth with 2/3s of the plan, dedicated to expansions of the Company's transmission and distribution network.  Oncor's robust projected capital plan and rate-based figures are expected to support economic development across its service territory, increases in generation interconnections, strong premise growth, and critical new investments in grid modernization and resiliency. And finally, Oncor now expects to grow its rate base to nearly $28 billion by 2026, which reflects a compound annual growth rate of about 8% over the 5-year period. The growth the Company is experiencing is just remarkable. Please turn to the next slide, where I'll pass the call over to Justin, to review the latest updates at Sempra Infrastructure.
Justin Bird : Thanks, Jeff. I'm excited to present the newly formed Sempra Infrastructure platform. We expect the formation of Sempra Infrastructure along with the financial strength of KKR to give us added scale to execute on a wide range of energy infrastructure opportunities across Sempra Infrastructure's 3 business lines. Since closing this transaction, a month ago, we're already seeing the benefits of combining the 2 organizations through financial synergies and commercial optimization. For example, we've been able to restock our capital structure to create meaningful cost savings. To capture new development opportunities, we've organized into three business lines, LNG and Net Zero Solutions, Energy Networks, and Clean Power.  We expect this structure will enhance growth and quality execution. This also strategically positions us to benefit from North America's continued trend toward the clean energy transition by optimizing the natural partnership between natural gas and renewables to help meet decarbonization goals here in North America and abroad. Energy infrastructure, as Jeff described at the top of today's call, is the focus of our development program.  Now, please turn to the next slide where I'll briefly discuss how we're advancing growth in each of our business lines. First at LNG and Net Zero Solutions, the LNG market has recovered quite dramatically as evidenced by the spot market with record high prices being seen in Europe and Asia and a recent uptick in long-term contracting activity around the world. With that constructive backdrop, our LNG development portfolio, is expected to benefit from the strategic advantage of being situated on both the Pacific and Gulf Coasts with direct access to both Asian and European markets.  As a reminder, ECA LNG Phase 1, was the only LNG export project in the world to take a final investment decision last year, which reinforces the competitive advantage of Brownfield sites, that can dispatch into the Atlantic and Pacific basins. Now looking forward, we remain focused on the construction of ECA LNG Phase 1, working with our partners to optimize Cameron LNG 's current operations, as well as the development of the Cameron LNG expansion. And finally, working on an exciting new Pacific opportunity in Topolobampo, Mexico called Vista Pacifico LNG. at ECA LNG Phase 1, engineering, equipment, fabrication, and site preparation are well underway.  The project is on time and on budget, and we continue to expect first LNG production by the end of 2024. At Cameron LNG, the current facility is running well and hit record production levels during the month of October. Together with our partners, we're developing a projected 7 million tons per annum expansion project benefiting from 1 million tons per annum of debottlenecking trains, 1, 2, 3. With innovations and train design coupled with the high performance of trains 1 through 3, we expect this to be a very competitive, capital-efficient expansion. In terms of next steps, we plan to move to feed early next year to file an amendment with FERC to build Train 4 with electric drives in order to reduce Scope 1 emissions, and to work closely with our partners as we advance toward FID. Lastly, Vista Pacifico LNG is a new development project located adjacent to our Topolobampo refined products terminal.  This new project is expected to be a mid-scale facility connected to two existing pipelines. One of them being the high-pressure pipeline system we own in Sonora. The project would source lower-cost natural gas from the Permian Basin for export to high demand Asian markets. At our Energy Networks in clean power businesses, I'd like to highlight two important projects. The expansion of the GROE pipeline and the expansion of our ESJ wind farm. The GROE expansion is a pipeline project in development that is expected to increase gas delivery capacity to the Baja Peninsula and play a critical role in supplying gas to the ECA LNG Phase 1 project. We continue to advance a series of our cross-border renewable projects that are expected to dispatch directly into California. Specifically, the ESJ Expansion, leverages the existing power transmission capacity that we own on the U.S. and Mexico border. We're the only Company that owns cross-border transmission lines that can connect into the California electric grid and that allow us to have a competitive advantage in helping the state meet its growing need for new renewable energy resources.  I'm excited about the team we put together and about the business we're building. It's a unique opportunity, where well situated to compete and we certainly expect to play a crucial role in investing in energy infrastructure right here in North America that supports the global energy transition. Please turn to the next slide, where I'll pass the call to Trevor, to review our financial results.
Trevor Mihalik: Thanks, Justin. Earlier this morning, we reported third quarter 2021 GAAP losses of $648 million or $2.03 per share. This compares to third quarter 2020 GAAP earnings of $351 million or $1.21 per share. On an adjusted basis, third quarter 2021 earnings were $545 million or $1.70 per share. This compares to our third quarter 2020 adjusted earnings of $432 million or $1.49 per share. Please turn to the next slide.  The variance in the third quarter 2021 adjusted earnings compared to the same period last year was affected by the following key items; $35 million of higher earnings at Sempra, Mexico due to higher ownership of IEnova, $35 million of higher CPUC base operating margin, net of operating expenses at SDG&E and SoCalGas, $29 million of lower losses at parent and other primarily due to lower preferred dividends and $29 million related to the energy efficiency program refund in the third quarter of 2020 at SDG&E.  Please turn to the next slide. We are pleased with our operational and financial performance this quarter and are focused on continuing to execute through the remainder of the year. We also think our strong year-to-date performance, sets us up well to have a great year in 2022. With that, this concludes our prepared remarks. We'll now stop and take your questions.
Operator: Thank you. [Operator Instructions] If you're using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. [Operator Instructions]. We'll take our first question from Jeremy Tonet with JPMorgan.
Jeremy Tonet : Hi. Good morning.
Jeff Martin : Good morning Jeremy.
Jeremy Tonet : I just want to touch on the LNG market a bit here, interest and heard about the new prospects in Mexico that you were talking about, but just curious, I guess for your thoughts on the market. Right now, we've seen some others kind of signed some contracts close to 20 years pretty recently here. And so, it seems like the market could be improving. And I understand that there's two types of markets, the spot obviously being very strong right now, but you guys are looking at the long-term contracts and there's some different dynamics that go on there. Just wondering if you could help us think through how the market looks at this point for the longer-term contracts.
Jeff Martin : Yeah, appreciate having the opportunity to answer that question. I'll pass it to Justin here momentarily, but I would just start by saying, in the LNG trade, the spot market's roughly 30% of the overall market. We think the market backdrop is quite constructive. We've been fairly bullish on LNG, as many of you know, for quite a long period of time. And I would say that we're quite optimistic based upon the level and nature of our current conversations with counter parties. But let me just pass it to Justin. Maybe you can give an overview of what you're seeing in the marketplace, Justin.
Justin Bird : Thanks, Jeff, and hi, Jeremy. Yeah, I think we've seen a dramatic improvement in the market, both on the spot market, and I think importantly, you're starting to see some of these long-term contracts come back. Also, importantly, we're seeing higher forward curves over the next few years for deliveries into Asia and Europe. And I'd say the final thing that we're seeing that I think is important is you're seeing China 's reentry into the long-term market.  We are seeing a real uptick in our discussions, both in Asia and Europe, and frankly, as well as South America. So, I think we're going to see some exciting things coming over LNG portfolio and we should benefit from this constructive market backdrop. Again, we think we have a competitive advantage, the ability to dispatch directly into Europe and Asia. And again, over the long term, it's nice to see that we still see demand for LNG growing mid to high single-digits, which supports our long-term very bullish view on LNG development.
Jeremy Tonet : Got it. That's very helpful there. Thanks, and maybe peeping towards California here. And thinking about the California investment opportunities and some of the reliability considerations that remain in focus, are there any near-term opportunities you see for San Diego Gas & Electric at this stage? And just you see smothers in the state in a moving forward and different initiatives. What do you think are next steps for you guys there?
Jeff Martin : I'll give you a couple of fault. We're actually quite constructive on California. A couple of things I'd mentioned, as you may have seen the decision yesterday, where the PSC approved increasing the capacity utilization at Aliso Canyon, like they increased it from roughly 34 Bcf to 41 Bcf. And I would tell you, we're certainly committed to supporting a much cleaner economy in California. But the expectations today, Jeremy, is that traditionally, California uses roughly 39% to 41% of natural gas for its electricity production in the winter time because of low hydro levels.  I think there's much more focus now on that being closer to 45%. We could see record utilization of natural gas here in California in the winter and I think the PUC decision reflects that. More broadly both SoCalGas and SDG&E have made a commitment to be a leader in the clean energy transition, and this is going to inform not only our current investments, but how we're stacking capital investments going into the GRC next year. And Kevin, maybe you can talk about some of the things that you are seeing around battery storage and other things that could be near-term opportunities for SDG&E.
Justin Bird : Thanks for that, Jeff. Thanks, Jeremy. Yes, we are seeing a lot of opportunities at both utilities. Jeff mentioned at the gas Company obviously, a lot of clean fuels opportunities around RNG and hydrogen. But you specifically asked about SDG&E. At SDG&E we're seeing a big push in the state, given what we've seen in the last couple of tight summers around more storage capacity, more generation capacity. I think SDG&E will have some filings in the next few weeks around more utility-owned battery storage.  I think you'll also see a lot more activity in the coming months and years around electric vehicles too. California has made a lot of bold commitments to move -- much more strongly toward electric vehicles. And, I think you'll see a lot of grid enhancements and good modifications in that area. But I'd also remind you that, climate resilience is a big thing here, and so continues to be a lot of wildfire mitigation opportunities to invest capital as well.
Jeremy Tonet : Got it, that's helpful. I'll leave it there, thanks.
Trevor Mihalik : Thanks, Jeremy.
Operator: We'll take our next question from Shahriar Pourreza with Guggenheim Partners.
Jeff Martin : Morning Shahriar.
Constantine Lednev : Good morning, team. It's actually, Constantine here for Shahriar. Thanks for taking our question. Just following up a bit on the LNG market question. As you're putting out a more discrete SIP project pipeline, are there big economics for the projects within that pipeline still in the same low-teens IRR range that you've targeted before for some of the discrete projects? And how do those differ between the 3 categories that you outline?
Jeff Martin : So, I think you're talking about the return expectations across all 3 platforms?
Constantine Lednev : Yes.
Jeff Martin : What I would probably say is, in this midstream space, we target mid-double-digit levered type of returns. We think those are consistent across all those. Interestingly, on the Clean Power side, you may recall that we've seen returns come in here in the U.S. That's one of the reasons we exited that business two or three years ago. In Mexico because of our border position and the access we have to two very important transmission lines that bring power into the U.S., we think we have a real competitive advantage in that region.  So, we expect relatively higher returns in which, you might find in renewables here in the U.S. So, I would stick to say an overall of Justin 's portfolio, is going to manage toward mid-double-digit equity returns. One other thing I'll mention too to the broader LNG story, Justin and I got back from a recent trip to Europe, where we visited Warsaw, and Dusseldorf, and Berlin, and Brussels, and other places. There's a tremendous amount of recognition in Europe about the role for natural gas and specifically LNG.  And there's certainly a new risk premium being assigned to pipeline gas. There's even discussions at the highest level of the EU about creating a strategic natural gas reserve. We've got a team on the ground next week in Asia. I think going back to the original point with Jeremy, there's a tremendous amount of conversations today. And I think this continues to reinforce our bullish case for LNG
Constantine Lednev : Excellent, that's great color. And I guess also shifting to the updates and regulated CapEx. I mean, we're obviously seeing a healthy on core update, and do you anticipate a similar entry year cadence of an update for California? And maybe you could be a little bit more specific, as you're thinking about the opportunities that you outlined, is there any anticipation they are going to realign the focus with policy, both in state and federal, and the next iteration of those filings and GRC I suppose?
Jeff Martin : Let me start a little bit more broadly. I think there's been a lot of interest as people have engaged with us over the last couple of months, about having better visibility into Sempra 's long-term growth rate. You've heard us talk about our track record in the past of growing this business. Whether it's a 10-year period or 20-year period, at an EPS growth rate of around 7% or 8%. I must tell you; we feel fairly confident in our ability to produce similar growth in the future, over 7 to 10-year period of time.  And part of that, is bolstered by this continued point that we make about the quality of the markets we're participating in, right? So, you've got the number 1 market in America is California. And the number 2 market is Texas. And I think Allen just has a remarkable story in Texas which keeps getting better. And to your point, we're going to have an opportunity to restack our capital program here in California.  It's part of our GRC filing next year. And I think you should expect to see us to make filing requests around many of the things that Allen's doing, which is around resiliency, modernization of the grid, and making sure we're making those investments today that ensure that our infrastructure is future ready for what we need in the future, such as hydrogen and other things on the system. So, we have a fairly clear pathway to grow the business in California, very similar to Texas. And I think one of the things you're seeing on today's call is a pretty bullish case by Justin about what we can do in the Sempra Infrastructure business as well.
Constantine Lednev : Well, I think that that's an abundance of clarity. Thanks, Jeff.
Jeff Martin : Thanks, Constantine.
Operator: We'll take our next question from Durgesh Chopra with Evercore ISI.
Jeff Martin : Good morning.
Durgesh Chopra : Hey, good morning. Thank you for taking my question. Just -- I wanted to go back to the Analyst Day and you specifically disclosed roughly $2 billion to $3 billion in additional CapEx at the utility. So, would this update -- what portion of that CapEx you've locked in or have included in the plan?
Jeff Martin : So, I think, there were a couple of things I have to make sure I don't misunderstand your question. The difference between the 5-year strip from Oncor that we presented in June, which went through 2025, as compared to the new 5-year strip, which goes to 2026 is a difference of $2.8 billion. We also talked about the Analyst Day, the intra-period change in 2021 and 2022 from the prior year's period. So, I think that you've seen two things take place. Year-over-year, you've seen the 2021 and 2022 CapEx for our utilities increase. But since June of this year, you've seen Allen 's numbers increase by $2.8 billion. So hopefully that's helpful.
Durgesh Chopra : Yeah, absolutely. But just -- in terms of like the Oncor CapEx itself, I think the number out there was like $775 million to $1.3 billion.
Jeff Martin : Yeah, Yes let me address that and hopefully, this will be helpful. So, a couple of points. The 5-year strip, going back to June has increased about $2.8 billion per Allen's organization, and Allen had an incremental bucket separate from that of $775 million to $1.275 billion, and that incremental bucket has been unchanged. And maybe Allen, it would be helpful if this is the right time to maybe do things for our -- 2 things, for our listening audience, Allen, talk a little bit about what's in your $15 billion CapEx plan. And separately, what's not in the plan related to future rulemaking and related to your incremental bucket, which I think is the nature of the question.
Durgesh Chopra : Sure Jeff. Yes, thanks. So, I think you described it very well. And what we've done today, is announced another billion dollars of Oncor CapEx over 5 years or $2.8 billion since the Investor Day, like Jeff said. That is really backed up by what Jeff mentioned in his opening remarks. Just tremendous growth that we can talk about across our system in a minute. But that $15 billion over 5 year is our new plan. To just point, a couple of years ago, we introduced this idea that, we had this other bucket, this incremental bucket of potential CapEx. And to just point that incremental bucket which we -- I think announced at $725 million to $1.275 billion.
Trevor Mihalik : remains there unavailable. And so how does that work? Well, what we do every year when we sit down with our Board and come up with what is now the $15 billion plan, there will be some projects that come out of that incremental bucket and go into that $15 billion plan. However, at the same time, we're also looking out further on the horizon and seeing things that we think could be included in that second bucket, which is the incremental bucket. That is separate and apart.  As Jeff said, we have announced a 5-year $15 billion plan, that's where we are today. We, in addition have another bucket which remains around -- these are estimates, but $725 to $1.275 that is available. And in that incremental bucket, in case we get to this in a minute, are also things -- another thing that we've added to that bucket is potential CapEx related to legislative activities in Texas and those fall in several categories. One is this possibility that we can participate a little bit in the storage market in Texas. There's a 100 megawatts available for the entire state.  So, we think there is an opportunity there, about $20 million for RPs and we're hopeful that that will grow over time. The Second Bill SB1281, which Related to CCNs and an economic benefit test specifically related to those CCNs. We think there is about probably 50 million a year in those incremental transmission projects. On the emergency generation side, I know there's been a lot of interest in that. We're working through acquiring some capital leases on the emergency generation side right now.  We're planning on having about 10 megawatts under contract. By January 1, the CapEx impact of what we do on emergency gen, like several of these categories, will depend on how much we ultimately end up leasing. But right now, the -- we're seeing kind of 5-megawatt emergency gen, 2 to 5 megawatts, around $2 million, and bigger 30-megawatt kind on the back of trailers, around $10 million. So, we'll make -- we'll make an appropriate reasonable decision for our customers in the ERCOT market on how much of that will require -- we will acquire, and that will determine the ultimate CapEx impacts of emergency gen.  Then on similar -- that same bill also provide us the opportunity to acquire long lead time equipment that we might need for service restoration. We think we're probably around what I would call $10 million for general plan for 2022 with an additional potential 100 on top of that for the remainder of the five-year plan, a $100 million worth of equipment. But again, that ultimate number is going to depend $10 million on general equipment is one thing. But if we get into stack comps and SVCs and some of the larger equipment.  That equipment goes from -- it can be anywhere from $50 million to $70 million per site. And so, we're still looking at all these legislative opportunities, that's just a general approach at what we're thinking right now on each of those. And as I said, these dollars associated with potential CapEx, associated with the legislation coming out of Storm Yuri are right now in our incremental bucket. But as we refine them, they will ultimately be moved at some point -- could be moved at some point into our 5-year plan. Jeff, is that what's you're asking for?
Jeff Martin : It is and I'll tell you the reason, there's so much enthusiasm from our team, as we've seen a $2.8 billion restack in that capital plan up to $15 billion since June. It has had no impact on the incremental bucket, which is still there as Allen described. And hasn't picked up yet some of the forward-looking opportunities around rulemaking in legislation. So, I think it's a very important story. And the last thing Allen, you might speak to is, the expected impact on rates.
Allen Nye : You good Jeff. So, here's how the rate impact works. Of the $15 billion over 5 years, that we're talking about today, about 2/3 of that, is growth-related. So new customers, more or less, or expansion of customers. Of the increase that we're talking about today, the billion-dollar increase, about 80% of that increase is directly related to growth. And I should mention also 97% of that total amount of $15 billion over 5 is tracker eligible. So, as we make these investments, keep in mind that we are presently the low-cost investor-owned utility in the state we have the lowest rates, of all the investor on utilities.  We believe that because of this substantial growth we're seeing on our system -- even after 15 billion over 5, we will remain the low-cost provider, or at least close to the low-cost provider on the right side of that chart of the rates with all the investor-owned utilities. Generally, I think we're probably thinking rates could increase somewhat similar to inflation. But again, we're the low-cost provider now and we believe will be the low-cost provider at the end of five years in $15 billion. Thanks.
Jeff Martin : Thanks a lot, Allen.
Durgesh Chopra : Thank you both. Appreciate you breaking that down that down for us. Thank you.
Jeff Martin : Thank you.
Operator: We'll take our next question from Stephen Byrd with Morgan Stanley.
Stephen Byrd : Hi, good morning. Thanks so much for taking my questions. I wanted to talk about federal legislation and in particular, green hydrogen, though there are other elements here that could benefit Sempra. You all have been innovators in a number of areas that could get support at the federal level. And I was just curious at a high level, I know the exact composition of the bill could change and obviously we are not even sure it's going to pass at all, but to the extent that we did see the framework that's been laid out, what are the areas that you're most excited about in terms of what that support might mean in terms of accelerating your plans or changing your plans?
Jeff Martin : I appreciate having the opportunity to answer that question. I think back in 2018, you may remember Stephen that, there was a lot of discussion around being in regulated businesses -- unregulated businesses. And I think, we took the opportunity to redefine an investment-class. That said, at the end of the day, these are all energy infrastructure investments. And how you make money may be different in the regulated framework versus outside of the regulated framework.  And we really went to ground this idea of being ahead of others in define in the markets where energy infrastructure would grow the most. I think in my opening remarks today, I tried to really emphasize the point that energy infrastructure's quite hot in Europe and Asia, and the U.S. I think there is really well-positioned and the infrastructure bill that you're referring to, is certainly strong confirmation bias of the importance of this to U.S. And there's really a tailwind for Sempra around this clean energy transition. So, 4 topics I think come out today's Bill, could pass as early as today out of the house. One of which is we're tracking the private activity bonds. These are ones that allow you to finance carbon sequestration and carp carbon storage devices.  We think that's important for the sector. The IEA says there will not be a net-zero 2050 without carbon sequestration. And that's one of the reason that Justin 's business is focusing on this opportunity. Second to your very point, green hydrogen is a big part of our country's future. We've made a decision to participate in all the appropriate trade associations. We've got something like 10 to 12 different R&D Projects in hydrogen today.  But specifically, in the legislation, the bill contemplates 4 regional hydrogen hubs in the country -- we think this will be important -- as you think about distribution centers. And one thing that people sometimes missed even as the number one manufacturing facility in the U.S., by a wide margin, is the LA Basin. And the number 1 industrial segment for the U.S. is the Gulf region between Texas and Louisiana.  So, both of these are areas that geographically we have a vested interest in, I think we've got a leadership interest in. So, I think hydrogen in both of those markets will be important. Two other quick points from today's Bill: 1. is the focus on wildfire management, we talk about this Stephen, a lot in California. It's obviously a western region issue, It's an issue today in Europe and Australia and Ukraine and in different parts of the world.  But the build does contemplate support for vegetation management and improving resiliency, which is a very important topic here in California. 2. there's a lot of focus in the bill and electric vehicles. Trevor and I participated in the strategy session with Allen's board last week in Texas, the electric vehicle market in Texas is enormous.  Today, there's about 30 thousand vehicles on Oncor system In comparison, we're 120th the size of Oncor System here at SDG&E and they've got 70,000 vehicles on our system. So, I think electric vehicles will be very, very important and the bill is very specific, about funding opportunities all across the country to promote electric vehicles. So, those are the 4, we're probably following most closely. But we do share your optimism around green hydrogen.
Stephen Byrd : Well, that's a really comprehensive answer. Thank you very much. Helpful to understand the areas you're focused on. Shifting gears just back to LNG, you raised a lot of good points earlier, about the strength of this market. The excitement around this market, and you guys are well-positioned, does that sort of level of excitement globally provide additional opportunities to either monetize some of your assets or to find just very low-cost ways -- low cost of capital ways to pursue additional growth like the additional opportunity Mexico you mentioned. In other words, could this be both the way to monetize as well use other people's money to help achieve better growth and better returns overall?
Jeff Martin : Yeah. One of the things I would start with saying is the priority of our capital program is our U.S. utilities. And what we want to do is be able to grow our utilities at a rate faster than our peers and do that without coming back to the capital markets to issue separate equity. And that's one of the reasons that the KKR transaction was so important. It gave us a chance to crystallize and highlight value in that business and recycle capital back into reducing parent debt and meeting to the capital needs like Allen described today but I would tell you, I don't think we're finished, right?  That business now has been valued at roughly an enterprise value of $25 billion, so, we think about going forward. We think there will be strategic opportunities to bring that business to the market, but those are conversations we would obviously have with KKR and to your point, if we have the chance to further diversify the capital structure at higher valuations, that's something you should look for us to do. And we will be looking under Faisel and Justin's leadership at bringing in project equity on some of these projects to reduce the call of capital from Sempra Infrastructure. But right now, they are very, very focused on growth, and there's a lot of enthusiasm, of what they think they can accomplish.
Stephen Byrd : That's great. Thank you very much, that's all I had.
Jeff Martin : Thank you for being on the call.
Operator: We'll take our next question from Michael Lapides with Goldman Sachs.
Jeff Martin : Good morning.
Michael Lapides : Hey, guys. Thanks for taking my -- morning Jeff, thanks for taking my questions. 1 short-term, 1 long-term, 1 -- the short-term 1 is, can you remind us what's in guidance, what's assumed in your 2022 guidance in your growth trajectory for what happens in the California cost of capital dock and the mechanism. That's question A. Question B, longer-term, on the potential new Mexico LNG project, can you talk about what kind of pipeline development is needed to get the gas from the Permian to the site. Thanks, guys.
Jeff Martin : Thank you. I'll pass the pipeline question in a second to Justin. And it's a really positive story there actually. But I would mention obviously, many of you on the call have been following the cost of capital developments, both for SDG&E, PG&E and Edison. I will remind you that, the SoCalGas mechanism did not trigger. We're going to follow this closely. I think the key gating item that, everyone in the state has fallen is the forthcoming scoping memo that, we expect from the commission.  But, in terms of forward guidance, what we've indicated in the past Michael was that, whether we get the automatic triggering mechanism or whether our application's approved, it is contemplated within our guidance for next year. And because of some other steps that, the business has taken to mitigate and become more -- mitigate cost and become more efficient. It's probably in the range of $0.05 to $0.10 either way.  But well, within our guidance range. And we would not expect to update guidance independent of that outcome. And then Justin, I think, a lot of times, particularly in domestic LNG development, there's always issues related to pipeline development. I think it'd be helpful to help our listening audience better understand what's unique about the pipeline system that supports Vista Pacifico?
Justin Bird : Yes. Thank you. Thanks for the question, Michael. Yes. Vista Pacifico would effectively source gas from the Permian from the U.S. basin and deliver it in the form of LNG to Asia. There are two existing pipelines that basically converged very close to the site, so there would be a very small spur type pipeline that we would build that we connect to PacificO2 existing pipelines, both of which are underutilized on a transmission capacity basis. So, I think very little pipeline construction associated with this. This is part of the strategic location of the project is its proximity to pipelines and the fact that 2 of those pipelines are very underutilized.
Michael Lapides : Got it. And just 1 quick follow-up. Are you the only LNG, or potential LNG project competing to utilize those pipes?
Justin Bird : Sorry, Michael, can you repeat that question.
Jeff Martin : He is asking is your project the only one that's competing relative to those pipeline?
Justin Bird : I think there is another existing development project that is north that is trying to get some capacity from one of those pipelines.
Jeff Martin : Which we own.
Justin Bird : Which we own. We own the pipeline, yes.
Michael Lapides : Got it. Thanks, guys.
Jeff Martin : Thanks, Michael.
Operator: We'll take our next question from Ryan Levine with Citi.
Ryan Levine : Good morning.
Jeff Martin : Good morning, Ryan.
Ryan Levine : Hey, Jeff. Given the political uncertainty related to CFP contracts in Mexico, are there any proactive steps the SIP or broader Sempra organization is considering to mitigate the counterparty risks or other broader opportunities to capitalize on the growth in Mexico? And then related, did Sempra have any differentiated impact relative to its SIP partners in any policy change in Mexico in conjunction with the KKR agreement?
Jeff Martin : I would start with your second question, which is KKR has their own infrastructure presence in Mexico, both on the refined product side of the value chain, as well as with renewables. They are certainly collaborating with us constructively with CSE, so that's been helpful. I can make a couple of comments to Ryan that because of our headquarters be in here in San Diego. You'll recall that we've been investing pretty consistently down in Mexico for close to 25 years. And what excites us back then still excites us today is you've got about a 130 million consumers. It's one of the fastest-growing consumer markets in the Western Hemisphere.  And most importantly, is the largest synergy export partner for the U.S. at about 7 to 8 BCF per day. And I think even though we've got leading scale and expertise at Sempra Infrastructure, we're still very selective about the projects we expect to invest in. And even the Vista Pacifico project that Justin was describing, those capacity releases on some of these pipelines that, would be needed would come from the government. And this is really a government-sponsored project, and one that they've been quite public about supporting from a permit and pipeline capacity standpoint.  But curious you, I think is quite topical that, there are reform being proposed in electricity market. I think you'll expect to see the lower house vote on that, in the fourth quarter. But it would not clear the legislature until probably April of next year, and we handicap that, as a low probability. And what's interesting about this is, those reforms largely target to the point you made Ryan, generation assets that are connected to the CFE system. And today, we have a relatively small footprint in generation across all of Sempra because we're a T&D business.  I think the electric investments in Mexico account for roughly 1% of our consolidated earnings, and more importantly, the vast majority of all those projects, something like 80% are on the border with California are not connected to CFE and dispatch directly into the Cal ISO. But I will leave you with one thought which is probably the most important. We made the decision several years ago that what we really want to do is help President Lopez Abra be successful.  So, the majority of our conversations are focused on ways that we can partner with his cabinet to make Pemex be successful and make CFEB successful. So, when you see us announce projects like Vista Pacifica is because those will be done largely in tandem with the objectives of the government. That's one of the reasons we still feel good about those types of projects in Mexico.
Ryan Levine : Appreciate the color. Thank you.
Jeff Martin : Thank you, Ryan.
Operator: We'll take our next question from Paul Zimbardo with Bank of America.
Jeff Martin : Good morning, Paul.
Paul Zimbardo : Hi, good morning, team. I said a question, if you could discuss at a high level, just how you think some of the latest cost estimates change for the Brownfield and Greenfield development projects? However, you want to frame it, what percentage changes, or just how to think about the latest commodity backdrop.
Jeff Martin : So, I think there's 2 parts of that question. Number 1 is this issue of, how much inflation are we seeing in terms of, how we source our soft and hard costs at any of our projects, including our utilities. And we've got obviously some building mechanisms that help us with that on the utility side. In Justin's business, you recall that, we were very reliant on EPC wrap contracts, so the procurement and exposure to costs, we shift that risk to the construction contractor.  And that's why, it's important that they have strong credit counterparties. But in terms of Brownfield versus Greenfield, I think the way I would answer that, a very general levels to say, Brownfield projects always have a cost advantage, and Greenfield projects can be also quite viable. Typically, they B2B to be done at scale, and Port Arthur would be an example that, but coming back to our projects, think about this.  For us to have the opportunity to turnkey 6% to 7 Bcf -- I mean, 6 to 7 MTPA at Cameron expansion, Our view internally as it could be one of the lowest cost projects for new capacity in the world. So, our likelihood of going forward that we account as being relatively high and that's why we've got a 100% of MOUs in place to get to the next step and move to heads agreement from the SPAs there.  And then this to Vista Pacifica o, this is the type of price very similar to ecoPhase 1. Our expectation is it will be oversubscribed. That is a greenfield project but the geographic location to be able to have direct pipeline access from 2 different pipelines to Waha and to be able to dispatch directly into the Pacific, will be a tremendous and competitive advantage where we market that project.
Paul Zimbardo : Okay, now that's great. And then shifting back to Oncor, thank you for that super detailed breakdown. Given the robust opportunity set should we think about October 2022 board meeting as the next opportunity for refresh, or should we think more of the 2021 pattern where those update sprinkle throughout the year?
Jeff Martin : It's such a great question and I hate to foreshadow that we're going to be sprinkling things throughout the year. But I'll give Allen great credit. It wasn't that they had an ongoing process just to update their plan. They were looking at issues in the market around inflation and how they supply chain issues in advance.  So, the real genesis of Allen updating Capex guidance was he came back to the boards so they can make forward purchases that allow them to keep their 2021 and 2022 capital plans in place. What they were doing is they are reaching forward to source what they needed to execute those capital plan. So, I think you would expect his team to do something very similar. Is there watching the marketplace if there's opportunities to adjust that they will.  And I think he made a great case for We didn't cannibalize that incremental bucket list. That's been replenished as we look going forward, I think that they will continue to look for opportunities to take price risk away from their capital program, and ensure that they can deliver the plan they have on the street today.
Paul Zimbardo : Okay, great to hear. Thank you all.
Jeff Martin : Yes. Thank you for joining us.
Operator: We'll take our next question from Craig Shere with Tuohy Brothers.
Jeff Martin : Hello, Craig.
Craig Shere : Hi, good morning in your time. So, do you see the potential for Topolobampo jumping ahead of Port Arthur, in the new project cue. And did I hear correctly that, the focus will be on securing equity from partners outside of SIP, where needed, If external equity is required for construction of 3 simultaneous accretive LNG product -- projects: ECA Phase 1, Cameron Phase 2, and of course something else.
Jeff Martin : A couple of things here is the Topolobampo project will be very similar in scale to ECA Phase 1, kind of that 3 to 4 million-ton-per-annum size. It definitely can jump ahead of Port Arthur, so that's the answer to your first question. We certainly are quite bullish both on Cameron expansion, which is 6 to 7 MTPA, as well as the Vista Pacific project, which is closer to 4 million tons per annum.  In terms of equity, we're very comfortable with the level we're at today with KKR. Certainly, if we saw opportunities to diversify the capital structure at Sempra Infrastructure at points in the future at higher valuations, we would evaluate that against the opportunity to bring in equity down to project level. But definitely there's an interest to attract equity participation at the project level, given the size and scale of our expectations around LNG.
Craig Shere : That's very helpful, and the last question, maybe Justin, if you want to opine, but we've kind of noticed that equity cargo capacity that can be delivered years in advance of new trained construction appears to be a major selling point for new long - term contracting. On track doing, like the latest Venture Global announcement included some short-term supply off their [Indiscernible] house. How do you see this market dynamic playing out with respect to SIPs portfolio?
Justin Bird : Yes. It's a great point, Craig and I think you even saw Cheniere's deal today, had a lead into the bigger capacity coming at the long term. So, I would say, I wish I had capacity I could sell right now to bridge some of the construction on these other projects. Because I do think it is a competitive advantage. The market is very hot right now, and people are looking for volumes in the next few years. I think for us, it's a question of maintaining our financial discipline, potentially looking for partners where we can provide some bridge volumes into volumes coming from our facilities.  And then looking for potential excess volumes that could be available via the partners out of Cameron or when ECA Phase 1 comes online looking for some additional volumes as production actually starts and we see what production looks like. Yes, I think you raise a great point having volumes to bridge into these long-term contracts, I would say is a competitive advantage and it's something that we're focused on and looking for opportunities to find those types of bridging arrangements.
Craig Shere : Great. Thank you very much.
Operator: Thank you. that we will conclude our question-and-answer session. At this time, I'd like to turn the call back over to Jeff Martin for any additional or closing remarks.
Jeff Martin : I just want to thank everyone for joining our call this morning. We're certainly pleased to join the EEIC, EEI Conference virtually next week. And we're looking forward to spending time with as many of you as possible. Thank you again for joining us. Feel free to reach out to our IR team per custom with any additional questions. This concludes today's call.
Operator: Thank you. That will conclude today's conference. We appreciate you participation.